Operator: Hello, and welcome to the Natural Resource Partners L.P. First Quarter 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the call over to Tiffany Sammis, Investor Relations, you may begin.
Tiffany Sammis : Thank you. Good morning, and welcome to the Natural Resource Partners first quarter 2025 conference call. Today's call is being webcast and a replay will be available on our website. Joining me today are Craig Nunez, President and Chief Operating Officer; Chris Zolas, Chief Financial Officer; and Kevin Craig, Executive Vice President. Some of our comments today may include forward-looking statements reflecting NRP's views about future events. These matters involve risks and uncertainties that could cause our actual results to materially differ from our forward-looking statements. These risks are discussed in NRP's Form 10-K and other Securities and Exchange Commission filings. We undertake no obligation to revise or update publicly any forward-looking statements for any reason. Our comments today also include non-GAAP financial measures. Additional details and reconciliations to the most directly comparable GAAP measures are included in our first quarter press release, which can be found on our website. I would like to remind everyone that we do not intend to discuss the operations or outlook for any particular coal lessee or detailed market fundamentals. Now I would like to turn the call over to Craig Nunez, our President and Chief Operating Officer.
Craig Nunez : Thank you, Tiffany, and good morning, everyone. NRP generated $35 million of free cash flow in the first quarter of 2025 and $214 million of free cash flow over the last 12 months. Prices for metallurgical coal, thermal coal, and soda ash declined precipitously over the last year and negatively impacted our results. As you've heard us say for over a year now, we expect weak prices for all three of our key commodities to persist for the foreseeable future and provide a drag on our performance. Despite this, we expect to continue generating robust free cash flow, which we will use to pay off remaining debt, which stands at $118 million today. We are now reaping the rewards of the capital allocation decisions made over the last decade. Our capital structure is solid and our financial outlook is bright. We look forward to the prospect of significant increases in unit holder distributions as debt is paid off next year. Our mineral rights business generated $44 million of free cash flow in the first quarter of 2025. Sluggish demand for steel, relatively high inventories at power plants, and an uncertain geopolitical environment have pressured metallurgical and thermal coal prices to levels that we believe are at or near the cost of production for many producers, and there are no clear catalysts in sight to push prices materially higher in the near term. With that being said, operator cost inflation has increased to break even coal sales prices for our lessees. As a royalty owner, we benefit from higher sales prices without having to bear the burden of our operators' higher costs of production. As a result, we believe the royalty revenue we receive at our operators' break-even levels is higher today than in the past. Turning to soda ash, we received $3 million in cash distributions from Sisecam Wyoming in the first quarter of 2025, an 80% drop from the previous year quarter. Soda ash prices remain at the lowest levels in decades, with sales prices trading below the cost of production for many producers. We believe we are in the early innings of this soda ash bear market given the current supply-demand imbalance, and that it will take multiple years for global markets to fully absorb excess supply and stabilize at materially higher price levels. While we have seen some high-cost production shut down globally, most notably in the United Kingdom, Poland, and Argentina, the scale has been too small to materially benefit the market so far. We take comfort that Sisecam Wyoming is one of the world's lowest-cost producers. While distributions will likely remain at these lower levels in the near term, our positive long-term view of our soda ash investment has not changed. Regarding carbon-neutral initiatives, or CNI, the slowdown that we expected for the general market for most CNI activities has materialized. Leasing interest for underground carbon sequestration remains lackluster, as political, regulatory, and market uncertainties pose significant hurdles for developers contemplating large capital investments for these types of projects. We are, however, continuing to see activity in the geothermal, solar, and lithium space, and are making small-scale progress on several initiatives. While the timing and likelihood of future free cash flow from CNI activities is uncertain, we still believe our vast ownership footprint provides opportunities for carbon-neutral cash flow while requiring minimal capital investment by us. And with that, I will turn the call over to Chris.
Chris Zolas : Great. Thank you, Craig. In the first quarter of 2025, NRP generated $40 million of net income, $34 million of operating cash flow, and $35 million of free cash flow. Our mineral rights segment in Q1 2025 generated $45 million of net income, $43 million of operating cash flow, and $44 million of free cash flow. When compared to the prior year's first quarter, our mineral rights segment net income decreased $15 million, and operating and free cash flow decreased $27 million and $26 million, respectively. These decreases were primarily due to weaker steel demand that resulted in lower metallurgical coal sales prices and volumes. Net coal made up approximately 55% of our coal royalty revenues and 40% of our coal royalty sales volumes in Q1 2025, compared to 75% of our coal royalty revenues and 50% of our coal sales volumes in the prior year first quarter. Shifting to our soda ash business segment, net income in the first quarter of 2025 decreased $1 million, and both operating and free cash flow decreased $11 million as compared to the prior year period. These decreases were primarily due to a lower weighted average net sales price resulting from an increased percentage of sales into a lower-priced international market in 2025. International soda ash pricing has declined significantly from the record highs seen in 2023, primarily due to weakened demand for flat glass from the construction and automobile markets and additional soda ash supply from China. We expect prices in our distributions received from Shisha Jam to remain muted until demand rebounds and the soda ash market is able to absorb this additional supply. In wrapping up with our corporate and financing segment, Q1 2025 segment performance is relatively flat as compared to the prior year period. Q1 operating cash flow and free cash flow each improved $1 million as compared to the prior year period, due to lower interest payments from less debt outstanding. Regarding our quarterly distributions, in February of 2025, we paid a fourth quarter 2024 distribution of $0.75 per common unit, and in March of 2025, we paid a special distribution of $1.21 per common unit to help cover the tax liability associated with owning NRP common units in 2024. Today, we announced a first quarter 2025 distribution of $0.75 per common unit to be paid later this month. And with that, I'll turn the call back over to Mark, our operator, for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from the line of Philip Bremer[ph] with BLC Marketing. Philip, please go ahead.
Unidentified Analyst: Do you have any anticipation of what the dividend may be one year from this quarter?
Craig Nunez: No, we don't, at this point, have an anticipation of that one year from now. I will say that we do anticipate that distributions will be high on our list of cash flow priorities. And to the extent that we don't need cash internally to bolster the balance sheet, to do anything else, that you're going to see distributions going back to unit holders.
Unidentified Analyst: Congratulations on your strategy of debt reduction and the execution of it. I was just curious whether you were going to prioritize share buybacks or dividends.
Craig Nunez: I would suggest that in order of prioritization, I think of it this way for our uses of cash. Number one is liquidity, balance sheet strength. We have to make sure that we don't find ourselves in a position that we've found ourselves in the past because of poor capital structure. And then to the extent we've satisfied that, next on the list of priorities would be the distribution. Then unit repurchases, if it was possible to repurchase units at what we would think would be material discounts to intrinsic value. And then last would be opportunistic type acquisitions that if we're able to purchase things at prices that provided a margin of safety.
Operator: And your next question comes from the line of David Spear with Nathor Capital[ph]. David, please go ahead.
Unidentified Analyst: Just as a way, as a possibility of speeding up the capital returns process, is there any opportunities to either sell assets or monetize assets, take advantage of the disconnect maybe between the market value of the company and essentially the private asset value of some of your assets? As just a way of then using those proceeds to pay down the debt to then speed up capital returns?
Craig Nunez: Just candidly, we do not have plans to sell any of our assets. We tend to be a -- as a royalty owner and mineral owner, we tend to be an acquirer and a long-term holder of those assets. We find that over time, that tends to be the best way to maximize value. I will say, however, that if we felt an opportunity existed to monetize an asset at some value that was in excess of what we believed the asset was inherently worth, its intrinsic value to us, we would certainly consider that. But I think those will be not frequent opportunities.
Unidentified Analyst: And longer term, are there any other mineral-like packages, let's say even on coal, where given this sentiment towards the coal industry overall, where there would be opportunities to pick up other packages over time and you can really scale your existing corporate infrastructure where you get some benefits, some accretive benefits and acquisitions?
Craig Nunez: Well, we really don't want to talk much from a competitive perspective about our desires for growth and investing and that type of thing. I would say, though, that we're still at a point where we're executing to finish the strategy we've put in place to delever the business. And as you could tell from the prioritization I gave you a few moments ago on our cash uses, acquisitions is the bottom of that list of four different uses of cash. So, I don't want to get too far ahead of ourselves on that right now.
Operator: And your next question comes from the line of John Mason with Aegis Company. John, please go ahead.
John Mason : Just looking at your volumes across for this quarter, I noticed that you guys saw a real uptick in the Illinois Basin. And so, I guess just a couple of questions. One, do you expect that uptick in volume to persist? And then two, I think at these net index prices, it's pretty uneconomical for, I think, a lot of producers on the cost curve. Do you anticipate any of your lessees on the MET side to reduce production at these levels over time? Or do you think that will persist? So, I guess a question on sort of Illinois Basin specifically, and then the impact of the MET index pricing on the volumes for your MET producers.
Craig Nunez: Right. So, first of all, let me say that as Tiffany mentioned at the outset, remember, we do not comment on specific operators. And so, Illinois Basin is, in fact, one operator for us. But I think generally we could answer your question this way. The volumes you've seen for Illinois Basin for us in the quarter are within the range of what we would expect to see going forward. So, it's nothing unusual. And so, hopefully that helps your question there with that. And what was your second question again?
John Mason : So, I think Illinois is primarily thermal. But on the MET side, the index pricing obviously in the Q1, sort of the first quarter that you're seeing is fully reflected. Do you expect any of your MET coal producers to reduce production given that, I think this pricing is pretty uneconomic for a lot of producers across the cost curve?
Craig Nunez: We think you're right. We do believe that you're correct in that prices today are, at or below marginal cost of production for many operators. And we do have operators, we believe, although we're not necessarily privy to their cost structure. We don't have the right to see that, so to speak. But we do believe that we do have operators that are right there at that break even, maybe right before. It would not surprise us if there were idlings of production. But we have nothing we can point to right now that says we're going to have a material change in our volumes as a result of that. But it's, as you could tell from our prepared remarks, that's what we want to make sure everybody, all of you are aware of is that we're sensitive to the price levels that exist in the space right now. I will just say this. One of the things that we spend a lot of time doing around here and have for a number of years is trying to think of bad things that can happen to our business. And you've identified one of them that we regularly consider. And we run stress tests on. And it's a wise question to ask.
Operator: And your next question comes from the line of Uman Kamaria. Please go ahead.
Unidentified Analyst: So basically my question is supposed to be a bit similar to what the previous one asked, but just a couple of things. So the first thing is that, and previously M&A has been pretty strong for NRP, but I just wanted to get a sense of whether or not this is going to be a team. And also with regards to the new administration, there seems to be more support for met coal going forward. And I was just wondering that have you heard of any talk with regards to that with your other partners, whether they're actually looking for more met coal sourcing with regards to a further up the supply chain? Yeah, pretty much those two things.
Craig Nunez: Could you repeat your first question again, please?
Unidentified Analyst: You can just record the first question. It wasn't about M&A, but I think you covered it. All right. So could you just answer the second question, please?
Craig Nunez: I would say that we do monitor legislative and executive orders, legislative developments and executive orders fairly closely to the extent they impact our space. And we have not identified anything that we think will materially impact our business, per se. We can't make forecasts as far as what's going to happen on the regulatory front. But we've seen various administrations come and go over the life of NRP. And we frankly haven't seen a dramatic impact, just for example, over the last decade through two-plus administrations that we've weathered. We don't know exactly what impact that's going to have on us. And we're not changing our business plans because of it.
Operator: There are no further questions at this time. That concludes our question-and-answer session. I will now hand it back over to Craig Nunez for closing remarks.
Craig Nunez : Thank you, operator. And thank you, everyone, for joining us today and for your support of us. We're nearing the end of a very long journey to conclude the strategy that we put in place back in 2015. And we couldn't have done what we've done so far without your support. The headwinds of the market are certainly headwinds at the moment. But I can honestly say that despite the outlook for our three key commodities being probably the worst it's been in my tenure at NRP, the outlook from the perspective of an equity holder is certainly brighter than it's been over the last decade. So with that, thank you again. And I look forward to speaking to you soon. Good day.
Operator: That concludes today's call. You may now disconnect.